Operator: Good day. Thank you for standing by and welcome to the H.B. Fuller First Quarter 2022 Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speakers’ presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today's conference is being recorded. [Operator Instructions]  I would now like to hand the conference over to Barbara Doyle, Vice President of Investor Relations. Thank you. Please go ahead.
Barbara Doyle: Thank you, operator. Welcome to H.B. Fuller's first quarter fiscal year 2022 earnings call for the fiscal quarter ended February 26, 2022. Our speakers today are Jim Owens, H.B. Fuller President and Chief Executive Officer; and John Corkrean, Executive Vice President and Chief Financial Officer. After our prepared remarks, we will take questions. . Please let me cover a few items before I turn the call over to Jim. First, a reminder that our comments today will include references to organic revenue, which is acquired revenue and the impact of foreign currency translation. We will also refer to adjusted non-GAAP financial measures during this call. These measures are in addition to the GAAP results reported in our earnings release. We believe that discussion of these measures is useful to investors to assist the understanding of our operating performance and how our results compare with other companies. Reconciliation of non-GAAP measures to the nearest GAAP measure is included in our earnings release. Unless otherwise specified, discussion of revenue refers to organic revenue and discussion of EPS, margins or EBITDA, refers to adjusted non-GAAP measures. We will also be making forward-looking statements during this call. These statements are based on current expectations and assumptions that are subject to risks and uncertainties. Many of these risks and uncertainties are, and will be, exacerbated by COVID-19 and the Russia-Ukraine war and resulting deterioration of the global business and economic environment. Actual results could differ materially from these expectations due to factors discussed in our earnings release, comments made during this call or risk factors in our Forms 10-K and 10-Q filed with the SEC and available on our website at investors.hbfuller.com.  Now, let me turn the call over to Jim Owens.
Jim Owens: Thanks, Barbara, and welcome to everyone on the call. Last evening, H.B. Fuller reported very strong results to start fiscal year 2022. Organic revenue was up 21% and EPS was up 21%, and we delivered $113 million of EBITDA, which was up 12% and ahead of our expectations for the quarter. This strong performance is continuing as we begin the second quarter and look ahead to the rest of the year. We are driving growth through innovation and strong strategic pricing. And as we saw in 2020 and 2021, in turbulent times, we are delivering for our customers and for our shareholders with exceptional consistent operational execution. Our results were strong in each of our global business units. All 3 GBUs delivered mid-teens or higher organic revenue growth versus last year driven by strong volumes and pricing gains. Our volume growth contributed 6% of our organic growth and pricing drove 15%. The tragic events in Ukraine have all of us concerned for the safety of people in the region, and our concerns at H.B. Fuller are with them, first and foremost. From a trade perspective, the conflict is impacting a fragile supply chain with even higher prices for raw materials and transportation. Raw material inflation will be greater than we forecasted in January. And as a result, additional pricing actions are being implemented this quarter to remain ahead of the inflation. We have implemented approximately $130 million of pricing in the first quarter with at least an additional $175 million planned in the second quarter. These actions are in addition to the $450 million of annualized pricing executed in fiscal 2021 and are expected to more than offset raw material and delivery cost increases. Our teams are monitoring the situation daily, and we are prepared to implement further price increases as necessary. While H.B. Fuller doesn't have direct dependency on materials sourced from Russia or Ukraine, supply of materials has tightened across the world as the war is impacting the availability and price of feed stream raw materials for many of our suppliers, particularly in Europe. Deliveries in much of Europe are being impacted by reduced air cargo, trucking and ground transportation availability. While the most acute issues are in Europe, the impacts are being felt globally. Supply and demand is the key driver of the price increases in specialty chemicals, which make up over 85% of our purchases. The recent spike in oil prices and commodity chemicals had a limited impact on our business in the short term, but will create additional pressures if higher prices persist later in the year. Our commitment to serving customers in this environment is unchanged. Supply assurance continues to be the #1 issue for customers and for us. We have done a very good job of serving customers thus far by working closely to secure available materials. The breadth of our adhesive chemistry and the diversity of the specialty chemicals that we buy has meant that no single material has had a large impact on our ability to deliver product, and it has enabled us to help customers find alternatives when short supply exists. We utilize working capital to help us manage supply assurance in this high demand, high inflation environment, and we're managing this closely. Our working capital reflects increased sales volumes and price as well as long lead times for material orders. We expect working capital as a percentage of revenue to follow our normal quarterly pattern with Q1 as our highest quarter and Q4 as our lowest. And we remain on track to deliver our full year working capital targets and strong cash flow. In addition to meeting demand for supply assurance, our innovation focus has enabled us to gain share and maintain strong growth momentum as we start 2022. Now, let me move on to review the strong performance in each of our segments in the first quarter. Hygiene, Health and Consumable Adhesives first quarter organic sales increased 21% year-over-year with revenue growth in every end market and very strong results in packaging, health and beauty and tapes and labels. HHC segment EBITDA was up 4% year-on-year driven by volume growth and pricing gains offset by higher raw material costs. We expect HHC organic volume growth to continue for the rest of the year with pricing gains driving sequential margin improvement throughout the year. Engineering Adhesives top line results continued to be extremely strong in Q1 with organic revenue up over 17% versus last year, reflecting share gains and strong pricing execution. EA had strong revenue growth across the portfolio and exceptional growth in transportation-related markets, new energy, woodworking and insulating glass. Engineering Adhesives' segment EBITDA was up 4% year-on-year driven by strong volume growth and pricing gains offset by higher raw material costs. Like HHC, we expect Engineering Adhesives organic volume growth to continue to be solid for the rest of the year with pricing gains driving sequential margin improvement throughout the year. Construction Adhesives organic revenue was up over 38% versus last year with considerable growth in commercial roofing. This strong year-over-year performance was driven by robust organic volume growth, improving customer demand, H.B. Fuller share gains and pricing. Construction activity in the first quarter of 2021 was impacted by severe winter weather in the United States. Normalizing for that unfavorable weather impact on our business last year, CA's organic growth still would have exceeded 30%. Construction Adhesives' EBITDA margin of 14.1% is up 600 basis points versus the first quarter of 2021 and driven by significant volume leverage, pricing gains and strong operational execution. We expect continued strong results for the remainder of the year. We also completed the acquisitions of Apollo and Fourny in late January, which added $6 million of revenue in the quarter. While Construction Adhesives growth this year will primarily be driven by organic roofing, flooring and utilities and infrastructure business, we're very excited about these 2 acquisitions which significantly expand our construction adhesive footprint in Europe. Looking ahead, our planning assumptions are that demand will remain positive across our business units this year, although we have factored into our outlook some slowing in volume growth as the year progresses. We expect that raw materials will continue to be tight throughout the end of the year and raw material inflation will remain elevated against a strong demand backdrop. We expect to more than offset raw material and delivery expense increases through pricing actions. Overall, when considering our strategic pricing actions, coupled with the solid volume growth we now expect full year organic revenue growth of between 15% and 20% versus 2021.  Now, let me turn the call over to John Corkrean to review our first quarter results and our updated outlook in more detail based on these planning assumptions.
John Corkrean: Thanks, Jim. I'll begin on Slide 5 with some additional financial details on the first quarter. Net revenue was up 18% versus the same period last year. Currency had a negative impact of 3.7% and acquisitions had a positive impact of 0.9%. Adjusting for currency and acquisitions, organic revenue was up 20.8% with volumes up 6.1% and pricing up 14.7%. All 3 GBUs had double-digit organic growth versus 2021 with Construction Adhesives up over 38% year-on-year and HHC and Engineering Adhesives up 21 and 17%, respectively, against what was a very strong first quarter last year for both GBUs. Adjusted gross profit was up 10% year-on-year. Our gross profit margin was down as volume growth and pricing gains were more than offset by higher raw material costs. Adjusted selling, general and administrative expense was down 210 basis points as a percentage of revenue, resulting from volume leverage, pricing gains and good expense management. Adjusted EBITDA for the quarter of $113 million was up 12% versus the same period last year, and adjusted earnings per share of $0.80 increased 21% versus the first quarter of last year driven by strong volume growth, pricing gain and good cost controls offsetting higher raw material costs. As expected, cash flow from operations declined compared with the prior year, driven by higher working capital requirements due to increased sales, significantly higher raw material costs and extended lead times. Working capital as a percentage of revenue is expected to decline to below 16% by fiscal 2022 year-end resulting in more normalized levels of cash flow generation for the remainder of the year. Regarding our outlook, based on what we know today, we now expect full year organic revenue growth to be between 15% and 20%. We expect currency to have a negative impact on full year revenue of between 3% and 4%, and we expect the Apollo and Fourny acquisitions that were announced at the end of January to add approximately $60 million of revenue for the full year. We are increasing our adjusted EBITDA guidance range to $530 million to $550 million reflecting the impact of acquisitions and our strong start to the year with forecasted double-digit year-on-year EBITDA growth in each quarter this year. As a reminder, we have 53 weeks of business in this fiscal year with an additional week in our fourth quarter. Including the additional week, we expect about 29% of our full year EBITDA in Q4. We also now expect full year interest expense to be between $75 million and $80 million; full year depreciation and amortization expense to be approximately $150 million; and capital expenditures of $105 million to $115 million. All of these projections are updated to reflect the impact of the acquisitions. Based on all of this, we now expect full year adjusted earnings per share to be in the range of $4.10 to $4.35, an increase of between 18% and 25% versus fiscal 2021.  With that, I will turn the call back to Jim Owens for some closing comments.
Jim Owens: Thank you, John. We are pleased not only with the 20-plus percent increase in top and bottom line results in the first quarter but also with the momentum we have created as we enter the rest of the year. Our ability to recognize and respond to a changing world, while continuing to innovate and respond to new market opportunities, is enabling our continued success. The momentum we've created over the last couple of years is a direct result of how we are executing our multiyear strategy to grow and transform the company.  Since 2019, we have implemented organizational changes, manufacturing efficiencies and process excellence initiatives that have unlocked the highly entrepreneurial and collaborative culture at H.B. Fuller. We have focused our organic investments, and we've acquired technology in order to grow our portfolio of highly specialized solutions. And we have built 30 market-focused businesses with their own P&L within our 3 GBUs that reinforce our speed and agility to serve customers. These teams intimately know their markets, anticipate trends and work with formulation and application experts across the company to deliver innovation that solves customers' problems first and fastest. In 2022, we will continue to focus on growing our portfolio of specialized adhesives to capitalize on market opportunities for high-performance applications and sustainable solutions. And we will deliver mid- to high-teens organic revenue and earnings growth.  We are accomplishing this by delivering on 3 critical priorities. First, we will outperform our competition globally by securing access to key raw materials in this high demand and supply-constrained environment. A year ago, our management team developed the mantra that the company that does the best job of getting materials that are in short supply will win. We are succeeding in this area, and it's showing up in our results. Our second imperative is to continue to strategically manage pricing, aligned to the value we deliver in this inflationary environment. Our company built pricing expertise, pricing tools and in-depth value training over the years. And when material inflation returned, we were able to execute with speed and precision to maintain and grow our business while pricing to value. Third, we continue to innovate to solve our customers' needs using H.B. Fuller's unparalleled expertise in application science, formulation science and our singular focus on adhesives to drive solutions that solve customer problems first, fastest and best. Our company has built an agile business model where people collaborate remotely with each other with customers and with suppliers around the globe. And they quickly adapt to changing market conditions to ensure our customer success by getting them the materials and innovation they need to thrive. We remain confident in our ability to continue to deliver for customers and shareholders in this turbulent environment as we have over the last several years. Before we take your questions, I'd like to remind everyone that we will be hosting an Investor Day on April 13 at our global headquarters here in St. Paul, Minnesota. This will be an opportunity for you to meet our senior leaders, along with many other employees, face-to-face. You will also get an inside look at our innovation capabilities and commercialization successes as you tour our global technical center and meet with our technical experts and business leaders. We will have a 3-hour business presentation, which will provide in-depth insights into our market position, how the company operates and our plans to drive accelerated growth in the years ahead. The business presentation will also have a virtual feed for those that cannot attend in person. We are looking forward to this meeting and seeing you in person or virtually. This concludes our prepared remarks today. Operator, please open up the call so we can take some questions.
Operator: [Operator Instructions] Your first question comes from the line of Ghansham Panjabi from Baird.
Tom Digenan: This is actually Tom Digenan sitting in for Ghansham. So first, could you call out and quantify what the variances are relative to the guidance raise just between M&A, the FX headwind, incremental supply disruptions, raw material inflation and anything else we might be missing.
Jim Owens: So you're asking about the change in guidance. Yes. Fundamentally, the 2 biggest drivers are the acquisitions that we did and the overperformance here in Q1. John, do you want to add to that?
John Corkrean: Yes. I think, Tom, as far as acquisitions, I think we indicated $60 million in revenue and then it is most of the increase in the EBITDA guidance. FX is in the negative 3% to 4% range. And then we have more pricing than we anticipated coming into the year, but raw materials are higher as well.
Tom Digenan: Got it. And then one more. Could you also provide more color on segment volumes just embedded in the full year outlook? And then kind of related to that, could you touch on what drove the volume strength in first quarter and whether you saw any pre-buying activity ahead of price increases?
Jim Owens: Yes. Volume growth was strong across all the businesses, exceptionally strong in CA, but we're pleased with the volume. I'd say the biggest driver is the innovation work we've been doing over the last couple of years. You can look at each one of our businesses and see some key wins new technologies, whether they're sustainability-driven or helping customers deal with reduced labor. So our innovation engine is really delivering some great results, and you see it in our internal metrics on percentage of revenue tied to innovation, tied to environmental projects. So that whole piece of this is going really well. Our supply chain work and the securing raw materials means that we're not getting the negative impact that maybe some others are when there are shortages because we're finding a way through these things and making certain that we do it -- do a good job. So those are really the 2 big drivers, I think you saw it in some of our results last year in Q4, and you're definitely seeing that momentum build here.  As far as prebuy on price increases, price increases are happening every quarter. So there's not really a prebuy on price increases. And frankly, there's not enough material around for people to prebuy. So that's definitely not driving any kind of quarterly impact here. John, you want to add something?
John Corkrean: No. I think, Tom, you'd asked kind of what we were anticipating going forward. I think we would expect to continue to see volume growth, maybe not at the rate we saw in Q1, though.
Jim Owens: I think we’ve factored -- there's nothing that's slowing down right now, Tom. But given what's happened in the Ukraine and around the world, we’ve factored into our guidance an expectation that volumes -- underlying volumes will decline. So the things that we're doing in innovation and driving growth but I think underlying we're factoring in a slowdown. As I said, no real indications yet that that's happening, but I think it's an obvious assumption at this point.
Operator: Your next question comes from the line of Mike Harrison from Seaport Research Partners.
Mike Harrison: In terms of the 12% to 15% increase that you're seeing in raw materials since the end of Q4, can you give us a little bit more color on kind of how those inflationary dynamics have evolved over the past few months? And do you have some confidence that we're going to see some stabilization here? Or is there still a lot of volatility or uncertainty as you look at your fairly wide-ranging raw material basket?
Jim Owens: Yes. Yes. I think I even said it on the last call, right? What we were seeing in Q3, Q4 and projecting into Q1 was a slowing of inflation, still inflation, but less inflation. And that's what we had predicted for Q2, right? So inflation but less inflation. In fact, our current view is that inflation in Q2 will be the highest inflation quarter we've had, and that's mostly driven by Ukraine. So we do a lot of forward look and we get really good visibility a quarter ahead, and there's a lot of shortages, there's a lot of downstream effects from commodity materials that will impact this year in the quarter. So our perspective is up a lot from where we were in Q1, mostly driven by the shortages in Ukraine, and it's why we have this big increase that we're putting in place here in Q2, the big price increase.
Mike Harrison: All right. And then I wanted to switch over to the construction business. It's -- you've had a couple of pretty nice quarters there. Can you talk about the trends that you're seeing in that business as we head into the busier construction season? Are you seeing delays? Are you having issues getting some of your raw materials that you might need? And I guess how confident are you around the pricing and volume and kind of margin trajectory through the rest of the year?
Jim Owens: Yes. Yes, the construction team has done a great job here throughout the pandemic and the supply shortage. And a lot of that's driven by a thoughtful innovation strategy. So we know who we are, which is being the best adhesive company in construction. And one of the things we bring is we enable customers to build projects with less labor. And by coming up with innovations like our sprayable adhesives or our Fast 2K adhesives, we're enabling that, and that's accelerating our growth. So those innovations are really key underlying drivers. The team has done a great job of pricing. So I think they did a good job of getting ahead of pricing. And the supply assurance we're giving, most of our customers are having problems getting some material, but our customers aren't having trouble getting adhesives. So we're not slowing down their jobs. We've seen situations where customers have moved from a metal roof to a laminate or an EPDM roof because they're having trouble getting the metal and they've moved to some other type of roofing material. So definitely, there's pent-up demand out there in a lot of construction markets because of construction materials. But I'd say our performance in that has really helped us both relative to other adhesive suppliers, but just helping our customers keep going. So yes, we see robust demand for the foreseeable future here in the next couple of quarters based on the feedback we're getting from our customers.
Mike Harrison: All right. That's good to hear. And then a quick one for John, and then I'll pass it along. You called out the higher FX impact on the top line, 3% to 4%. What does that impact look like on the EBITDA line? And do you think you could have raised guidance a little more if not for that additional headwind from currency?
Jim Owens: Yes. So I think currency is a negative on -- when the dollar strengthens, it hurts our bottom line a little bit, and that's certainly factored into our guidance. I'd also say you can easily make a case that we should have upped our guidance more, right? We've got a lot of good momentum, and you can see that. But I think we've been prudent in building our guidance with a view that the world changes a lot, right? If you think about this call, right? First quarter call 2 years ago, we were the first ones out there talking about the pandemic. First quarter call last year, we were the first ones talking about the supply shortages related to [DRE]. And now this year, we’re the first ones out there talking about Ukraine. So yes, we've gotten pretty good at prognosticating the future here. We need to get it right here again this year, but I think we're conservative in our thinking here going forward for currency regions and other regions, and I think it's a good guidance range. I don't know if you want to add something to that?
John Corkrean: That describes it perfectly. And that negative 3% to 4% was consistent with our guidance we gave last quarter. So it didn't really impact the guidance per se.
Jim Owens: Yes.
Operator: Your next question comes from the line of Vincent Anderson from Stifel.
Vincent Anderson: So I know these were relatively small acquisitions, but I was wondering if you could take some time to characterize how you arrived at these targets, whether it's opportunistic buy versus build capacity portfolio synergies, what have you. And if this was very portfolio-driven, does this make additional European capacity more of a priority to expand your footprint there? Or does this really get you where you want to be for the time being in Europe?
Jim Owens: No. Yes. So we love both of these deals. And I think for H.B. Fuller, these small deals that bring in either new technology with which both of these do or market position with both of these 2 are really valuable. So our CA franchise is very much a U.S.-based franchise. We've got a lot of good penetration of certain product lines into Europe. This gives us a center with -- particularly in Apollo, a great team and a great business. And the business is a little different in Europe. So Fourny gives us better insight into that business. So 2 really nice additions that give us a really strong presence in CA and I think it was important for us.  We got a lot of global strength as a company but having a good position there. And I would say, broadly speaking, what you'd look to see from us from future deals these kind of sizes are even smaller that bring in new technology or entry into a new market space, especially if we can add good people, which these businesses did. So I could see us doing more CA deals, but not necessarily in Europe. And I could see us certainly in EA, where there's a piece of technology or a market segment that we can strengthen ourselves. But there's a lot of opportunities out there to buy companies because we're a good acquirer and we've done a good job of helping people integrate into our company, we're in a good position to buy the companies that we target and are looking to bring on board, especially in that kind of space. So that's a little look at our strategy and those 2 deals. But yes, they're great deals, and they're good strategic additions.
Vincent Anderson: That's great. And you actually kind of hit on some of my next question. But Jim, you made a huge effort to get your company resegmented into global business units. But as you said instruction has historically been just very heavily weighted towards North America. Do you feel good that construction is ready to start functioning as a more globalized business? Or is the sign that you expect to be a little bit further down the road to integrate, especially any European products that would come back to the U.S., for instance?
Jim Owens: Yes. No, it's a fundamental part of our strategy is we think see can be a much stronger pillar if we add on the right technology around the world. So yes, I think Construction Adhesives are -- as long as you choose the right segments are very highly specified. They create a lot of value for customers and our ability to turn that into a global business. We got a lot of great technology in the U.S. that we haven't brought around the world. And then when we buy someone like Apollo, there's all kinds of opportunity to instantly bring that to the U.S. So these are going to be nice synergy deals, especially offensive synergy deals in the CA space.
Vincent Anderson: Okay. Great. And yes, if I could ask one more, just kind of staying a high level here. When you think about your runway of new sales coming off of recent innovation wins, I'm just curious, like as best you can estimate, what share of these wins are upgrading an existing product line and then gaining share as a result versus a product that's really a new win that's opening up additional sales channels? And then if that's something that you can answer, just any trends in the focus or relative success between those 2 product development strategies?
Jim Owens: Yes. So we need to do both, right? All of our customers need to upgrade in all the markets we're in. Generally, it's them upgrading their products. So a window manufacturer wants a more energy efficient window, right? We need to be spec-ed in on that. A baby diaper manufacturer wants to get something that's more absorbed or more flexible. Electronics manufacturer wants a more waterproof cell phone. Those are the opportunities that we tackle. So I would say it's typically upgrades of our technology but it's the real innovation on our customer side that we're enabling. And it's a big part of what we do, right? We're not just upgrading adhesives. People don't generally see that as value-added. To them, upgrading their products and us being a part of that, that's what we're driving in our innovation strategy.
Operator: Your next question comes from the line of Jeff Zekauskas from JPMorgan.
Jeff Zekauskas: Do you plan to acquire anything else this year?
Jim Owens: Yes. I'd say, Jeff, we'll look at opportunities as they come up. Anything that would be in our pipeline would be relatively small. So I don't think we're looking to do any major acquisitions. I think Apollo was sizable. So that would be the short answer.
Jeff Zekauskas: Yes. What oil price does your guidance assume?
Jim Owens: Well, we take oil prices as it stands on the day when we build our guidance. As you know, Jeff, in our business, most of the impact of oil is delayed. 85% of what we buy is specialty chemicals that are more supply-demand driven. And then as that 15% that's solid materials, monomers that move more with oil. So for those products, we've assumed today's -- well, as of a couple of days ago, I guess, I haven't looked at today's price, but -- and built that into our models going forward. But the impact there, Jeff, for us, is more a Q3, Q4 phenomena, more for Q4 even than Q3.
Jeff Zekauskas: So what do I mean, is it do you assume 120 or 100 or 110?
Jim Owens: Whatever was Friday. So we'll have to take is what we would put into our model. But it's not a big impact here in the short run, right? I think that's the important point here.
Jeff Zekauskas: Yes. Yes. So why did construction do so much better than your other businesses? In that there was sort of very low incremental margins in Health and Hygiene, Engineering, but very, very good ones in construction. And I get it that, last year, you had a very easy comparison. But if you go back over time, you've never really reported this kind of EBITDA level in the first quarter. Was demand just unusually strong? Sort of what happened? Why is this business different from your other 2 businesses?
Jim Owens: Yes, well, maybe I'll talk about each one separately. I mean construction did a great job of getting ahead of the pricing. So I think they did a really good job in Q4 on pricing. So their innovations are very, very high value innovations. And I'd say those are the 2 factors that are driving that margin, frankly, up to where we expect it, right? So we're looking at that business being a high teens margin business, and Boz and the team are there. When you look at the EA and the HHC businesses, this quarter, they're up against very strong performances first quarter of last year. So especially in these times, Q1 2020, '21 and '22, you sort of got to look at them in aggregate but they were up 20% in Q1 of last year. So I would say really good performances in all those businesses, Jeff, and CA getting where it should be, I think, in terms of performance is the way I'd characterize it.
Jeff Zekauskas: So you said that your volume was up about 6% in the first quarter. And I think you said that you thought your rate of volume growth would decline from that level in the course of the year. You've got an extra week. So maybe that adds, I don't know, 2% to your volume growth, something like that. So exclusive of the extra week, is your volume growth this year as far as you expect that I don't know, about 2% or 3%?
Jim Owens: Yes. Those comments I made, Jeff, are exclusive of the extra week. So I think the extra weeks are on top of that. So yes, I think the momentum we see today in the business shows very strong volume, even going here into Q4. I think we're building into our models and assumption that with everything that's happening around the world, and particularly over in Europe, there's going to be some slowdown. And that's just an assumption based on macroeconomic impacts. But yes, so that's what's built into the model.
Jeff Zekauskas: Yes. And lastly for John. Is SG&A just going to be up a few percent this year. And if you add up all your nonrecurring -- all the nonrecurring charges you expect to take this year, how much would it be?
John Corkrean: Well, I'd say it was -- it's going to be up more than a few percent. I think it was up about 5% in the first quarter. I would expect it to be a little higher as we progress through the year, Jeff, so maybe up in the high single digits. From a special charges standpoint, I couldn't tell you what that would do. I mean I think there wasn't anything unusual. We have had some restructuring and reorganization charges, but those have been tailing off. So it's been pretty consistent, and I would expect it to sort of stay consistent but maybe increasing at a slightly higher rate as we go through the year. . And then the only other comment I'd make, Jeff, is in the first quarter, we did incur some onetime charges related to the acquisitions that we adjusted out. So those, I guess, would be the unusual ones that made that number a little bit bigger.
Operator: Your next question comes from the line of Eric Petrie from Citi.
Eric Petrie: You noted potential for slowing volumes. Just a high-level question. Is that a macro issue? Or is that you're expecting demand less state steady to higher product pricing?
Jim Owens: That's all about macro issues. We don't see outside of very small pockets an impact in attrition related to pricing.
Eric Petrie: Okay. And then on your raw material guidance of 12% to 15% for first half, what's embedded in your guidance for the full year? And in terms of the pricing gains you're making in the first quarter and second quarter, how does that spread by business? And do you see better price reopeners in Engineering Adhesives? 
Jim Owens: Yes. I would say we're not -- we're trying not to project exactly what's going to happen in Q3 and Q4 with raw material inflation or pricing inflation. I think we've shown an outstanding track record of when the raw materials come, we can deliver the pricing, and that's our expectation here in Q3 and Q4. So I think if we all take off again in Q3, that will add to the number. It will also add to the pricing. And as far as across the businesses, it's relatively consistent across the businesses in terms of the amount of price that we're getting.
Operator: Your next question comes from the line of David Begleiter from Deutsche Bank.
David Begleiter: Just going back to guidance. For Q2 through Q4 ex-M&A, is it fair to say that this guidance is unchanged versus prior guidance?
Jim Owens: Pretty similar. Pretty similar. I think, yes, pretty similar. But I'd say that's the net-net. There's a lot that goes behind that, right? I think there's a lot of good momentum in the business, some great work on pricing that's improving the margins. And then there's this temporary of enthusiasm given the fact that we've got this war in Ukraine. So that's built into the guidance.
David Begleiter: Great. And that segues to my next question. Just on Q2 given the increase you're seeing in raws, how should we think about the cases of earnings in Q2 versus prior expectations, maybe a little bit less given -- are you actually behind in Q2 price versus raws?
Jim Owens: Yes. I would say we're doing a good -- you've got to remember, when we get our raw material increases, we have to buy the price of products. They go through inventory, they have to be transformed. And then when we've raised the prices, that happens on the day. So the timing is not that far off. So we don't have a timing phenomenon where rolls are coming in ahead of price. I do think our guidance involves that extra week in Q4. So there's some of this embedded in Q4 in terms of where the guidance is directing us, right, and we've been trying to be clear about that. But yes, so -- but I wouldn't say we're looking for some big dip here in Q2. I think it's going to be a tough quarter, but we have good visibility to it, and we think we can deliver solid results. I think John said double-digit EBITDA growth, excluding the extra week in each one of the next quarters, and I think that's a fair assessment.
David Begleiter: Got it. And just lastly, Jim, just in Europe, have you seen any slowing yet of demand activity due to the Russia-Ukraine conflict?
Jim Owens: Surprisingly, no. I think the biggest challenge in Europe right now is trucking because a lot of the truck drivers in Europe were Russian or Ukrainian, and so there's a real shortage of trucking that's having an impact. But early days, we don't see a big decrease in demand in Europe, at least at this point.
Operator: Your next question comes from the line of Rosemarie Morbelli from Gabelli Company.
Rosemarie Morbelli : So first, I want to congratulate you on the great first quarter. And one area or one region we haven't talked about is China. Could you talk and you have a decent EA business there and HHC as well, actually. Could you talk about what is going on there, whether the COVID and the restriction by the government and so on are affected your operations in the region? And what do you see for the next 3 quarters?
Jim Owens: Yes. Thanks for asking that question, Rosemarie, because one of the interesting things about the quarter is Asia was weak from a top line perspective mostly driven by a little bit of an extended Chinese New Year, which took away more volume and the slowdowns in China. So if you told me we were going to generate 20% organic growth and Asia was going to be in low single digits, right, I'd be very surprised. But that's where we're at today, Rosemarie. But I think -- I do think there's an upside there as the year goes on. As I talk to our team on the ground in China, this whole thing we're reading the press, where there's going to be a little loosening of some of these restrictions, is going to happen. I don't think we're going to see the Chinese government let the economy tank. So probably still a little bit of impact here in Q2, but we're expecting China to get better than it has been. But it's been a bit of a drag on the top line here in the first quarter. Anything to add on that, John?
John Corkrean: I think it's a perfect description.
Rosemarie Morbelli: How large -- can you remind us, for me, please, how large is your business in China, if you put it all together?
Jim Owens: Yes, about 12%.
Rosemarie Morbelli: Okay. Thanks. And then you said that you are not seeing any prebuying. But do you -- and I understand that there is supply challenges. Do you see customers building inventories because of the supply challenges? And just making sure that just the way you do, they will have enough to produce whatever it is that they are producing.
Jim Owens: Yes. I think that's an interesting question as well, Rosemarie. Mostly, what we're dealing with is customers who are short of supply, right? So we've got a lot of customers that were hand to mouth meeting their needs. But I think there probably are pockets of oversupply. So I think the net-net is probably neutral. But I think that's a question across the supply chain, right? You see inventories building in lots of companies. So what is that? I know for us, Celeste was just telling me the other day, she was at one of our factories and they've got 10 raw materials we need, 9 of them we have inventory, on 1 of them we don't, right? And that's creating an issue. So we -- I'm sure some of our customers are in the same mode. But I can't point to a big uptick in inventory out there, but I'm sure there's some of that as well as some other customers that are very short.
Rosemarie Morbelli: And if I may ask one last one. You are expecting margins to improve sequentially. However, price -- I mean, costs are increasing sequentially as well. Isn't there some kind of a lag between the -- your pricing? And I think you mentioned that between the pricing and the higher cost. And therefore, where are you getting your sequential margin improvement? I would expect that it may not necessarily occur every quarter. 
Jim Owens: Yes. I think that's a comment more about the next couple of quarters. And I think that we've caught up here, Rosemarie, right? So if you think about where we were early in this inflationary period, we were getting raw materials at a faster rate. Then the end of last year, we caught up, and now we're slightly ahead, right? So I think we're managing through this in a very thoughtful way and doing what we need to. So yes, so -- and you also got to remember, our Q1 is our lowest volume quarter. So that affects some of our margins as well. So yes, I think margin progression here in the next couple of quarters is what we're expecting and driving for.
Operator: Your next question comes from the line of Paretosh Misra from Berenberg.
Paretosh Misra : So just going back to your China business post the New Year, has the recovery in orders in China after the New Year being stronger or weaker than what you typically see at this time of the year? 
Jim Owens: Yes. I think as I mentioned, I think the shutdowns that we're all reading about are affecting various people in the supply chain. So I think the underlying demand is there, but I think the shutdowns in Shenzhen and some other parts of China are slowing down the speed of pickup after the New Year.
Paretosh Misra: I see. And then what are you seeing in your electronics business? Are you expecting volume growth this year to be higher or lower versus last year?
Jim Owens: Yes, our electronics business, thanks for bringing that up. That's one of our real stars. We're really pleased with how that's going, and good, strong growth, really solid bottom line delivery on that business, mostly driven by innovation. So I wouldn't say we're a bellwether as to what's happening underlying in electronics because these are mostly new innovations and new opportunities that we're winning. But good solid growth, and we do see it progressing throughout the rest of the year.
Paretosh Misra: Got it. And I don't know if you gave this number, but on a full year basis in 2022, what sort of raw material inflation are you assuming for this year?
Jim Owens: Well, I think like we said, that 12% to 15% is the number we're looking at.
Operator: There are no further questions at this time. I would now like to turn the call back over to Mr. Owens.
Jim Owens: Okay. Again, thanks, everybody, for their support, their questions. We really would like to see here in our headquarters here in St. Paul. I think you get really good insight and meet some of our team. We're going to host a dinner for those of you who are in town the night before. But if you can't make it, the presentation virtually I think will be also really helpful and informative. Have a great day, everyone. Thanks.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for participating. You may now disconnect.